Operator: 定刻となりましたので、これより説明会を開始いたします。 本日は積水ハウス株式会社、2025年度第1四半期決算説明会にご参加いただき、誠にありがとうございます。本日は決算 概要をご説明いたしました後、質疑応答の時間をもうけております。 本日の説明資料は、当社ホームページにも掲載しております。なお、本説明会は現時点の予測に基づく将来の見通しを述 べる場合がございますが、これらは全てリスクならびに不確実性を伴っております。実際の結果が見通しと異なる場合が あることを、あらかじめご了承ください。 それでは、本日の説明者をご紹介いたします。常務執行役員財務部門担当、藤田徹でございます。
Toru Fujita: 藤田です。よろしくお願いします。
Operator: 取締役専務執行役員、石井徹でございます。
Toru Ishii: 石井です。よろしくお願いします。
Operator: 業務役員IR部長、川畑弘幸でございます。
川畑 弘幸: 川畑です。よろしくお願いします。
Operator: 以上、3名でございます。 それでは、決算説明を始めます。藤田さん、よろしくお願いいたします。
Toru Fujita: 皆様、本日はお忙しい中、積水ハウス、2025年度第1四半期の決算説明会にご参加いただきまして、誠にありがとうござ います。改めまして、財務部門の藤田でございます。今年度よりIRを担当いたしますので、よろしくお願いいたします。 それでは、決算概要についてご説明申し上げます。2ページをご覧ください。 第1四半期としては、MDC社が期初から寄与し、売上高は過去最高となりました。国内では高付加価値提案が奏功し、請負 型、ストック型の安定成長が継続しています。 利益面では、国内は都市再開発事業での物件売却の減少にて減益となりましたが、おおむね計画に沿った進捗です。一 方、米国戸建住宅事業においては、住宅ローン金利の高止まりや先行き不透明感もあり、住宅購入者の様子見姿勢が継続 したことを受け、バイダウンを中心としたインセンティブの増加が、利益率低下の要因となりました。 売上高は1,169億円増の8,940億円となりました。請負型15億円、ストック型68億円のプラス。一方、開発型は283億円の マイナス。国際事業はMDC社の連結効果で、1,397億円プラスです。 売上総利益は185億円増の1,796億円、売上総利益率は0.6ポイント低下の20.1%です。冒頭申し上げたとおり、都市再開発 事業の物件売却減少、米国戸建住宅事業の利益率低下が主な要因です。 販管費は、300億円増の1,193億円です。販管費比率は1.8ポイント増加し、13.3%となりました。主にMDC社の販管費が加 わったことによるものです。 営業利益は114億円減の602億円、営業利益率は6.7%。営業外収益は127億円減のマイナス134億円です。MDC社買収による 有利子負債増加や、米国の賃貸住宅開発事業において、竣工済み物件が増えたことによる支払利息計上の増加等により、 支払利息が43億円増の91億円。為替差損益は79億円減のマイナス46億円で、為替差損となっています。 結果、経常利益は241億円減の468億円です。特別利益は24億円、政策保有株式の売却によるものです。特別損失は1億円 です。親会社株主に帰属する当期純利益は170億円減の333億円となりました。EPSは26.34円マイナスの51.49円です。 それでは3ページのグラフは飛ばしまして、4ページの財政状態です。 連結貸借対照表ですが、総資産は前期末比823億円減の4兆7,264億円となりました。流動資産は762億円減の3兆6,359億円 です。 内訳ですが、現金預金が809億円減、販売用不動産は196億円増の2兆8,589億円。うち海外は51億円の減少ですが、為替影 響により1,188億円マイナスとなっていますので、外貨ベースでは米国戸建住宅事業を中心に増加しています。 固定資産は61億円減の1兆905億円、負債合計は96億円増の2兆7,998億円、有利子負債は764億円増加の1兆9,539億円と なっており、うち為替影響がマイナス944億円あります。D/Eレシオは前期末比0.08ポイントプラスの1.04倍となっていま す。 純資産は919億円減の1兆9,266億円です。為替換算調整勘定が円高の影響により582億円の減、自己資本比率は39.9%で す。 5ページ、キャッシュ・フローの状況です。 営業活動によるキャッシュ・フローは、972億円減のマイナス1,623億円でした。仲介・不動産事業や、米国戸建住宅事 業における販売用不動産の仕入れなどによるものです。投資活動によるキャッシュ・フローは、5,271億円増のマイナス 284億円。前期はMDC社の買収による投資増、今期は有形固定資産の取得が中心です。その結果、フリー・キャッシュ・フ ローは4,299億円増の、マイナス1,907億円となりました。 財務活動によるキャッシュ・フローは、前期はMDC社買収資金の調達で大きくプラス、今期は長期借入金、社債発行等に よりプラス1,202億円となっています。このような結果、現金および現金同等物の残高が3,094億円となりました。 投資の状況です。資本的支出は339億円、うち賃貸用不動産への投資が146億円です。 次はセグメント情報、6ページです。請負型ビジネス全体では、売上高は15億円増の3,058億円、営業利益は11億円増の 265億円となりました。 戸建住宅です。売上高は41億円増の1,050億円です。売上総利益率は1.3ポイント改善の23.6%となりました。営業利益は 14億円増の61億円です。高付加価値提案による1棟単価上昇に加え、昨年の価格転嫁もあり、営業利益率は1.2ポイント改 善の5.8%です。1棟当たり単価は205万円増の5,453万円となりました。 次に賃貸・事業用建物です。売上高は50億円減の1,235億円です。売上総利益率は1.3ポイント低下の22.5%となりまし た。営業利益は31億円減の148億円、営業利益率は2.0ポイント低下の12.0%です。シャーメゾンの受注増に対応するた め、人員増強等を図ってきましたが、ボリューム減となった第1四半期は固定費負担が重く、利益率が低下しました。 一方、受注残高は潤沢にあり、前期末からさらに残高を積み増していますので、第2四半期以降の売上のボリューム増に 伴って、利益率も改善していく見込みです。1棟当たり単価は774万円増の2億89万円です。 次に、建築・土木です。売上高は25億円増の772億円、営業利益は28億円増の55億円、営業利益率は3.6ポイント改善の 7.2%です。大型工事が順調に進捗したことにより、増収となりました。また受注採算を高めてきたことに加え、竣工を 迎える物件において、物価上昇等のコスト増についても適切な反映が進んだことにより、営業利益率が大幅に改善しまし た。 7ページ、受注の状況です。戸建は2.6%減の1,160億円となりました。昨年のハードルがやや高かったこともありますが、 通期計画達成に対しては問題のない進捗だと考えています。5,000万円以上の高価格帯の受注棟数も増加するなど、受注 単価の増加も継続しています。なお2024年度の戸建住宅のZEH比率は96%と、過去最高を更新しました。 賃貸・事業用建物は、0.8%減の1,412億円となりました。RC物件の受注減少により微減となっていますが、引き続き駅近 で利便性の高いSエリアを中心に、シャーメゾンの受注は好調に推移しています。またシャーメゾンZEH比率は78%と、前 期実績より1ポイント上昇しました。 建築・土木は31.8%減の931億円となりました。前年同期に大型工事を受注した反動により減少したものの、良好な受注環 境は継続しており、おおむね計画どおりの進捗です。 8ページ、ストック型ビジネスです。ストック型ビジネス全体では、売上高は68億円増の2,189億円、営業利益は37億円増 の244億円となりました。 賃貸住宅管理です。売上高は76億円増の1,795億円となりました。営業利益は40億円増の197億円、営業利益率は1.9ポイ ント改善の11.0%となりました。順調に賃貸住宅の供給がなされる中、安定成長が継続しています。また高い入居率を維 持していることや、空室期間短縮化等の取り組みにより、利益率が改善しました。 次に、リフォーム事業です。売上高は7億円減の394億円、営業利益は2億円減の47億円となりました。営業利益率は0.5 ポイント低下の11.9%でした。受注高は3.7%増と好調に推移しています。2月の積水ハウスサポートプラス社の分社化によ り、これまで本社で負担していた経費の一部を本セグメントで計上することになったため、営業利益率が若干低下してい ます。 9ページです。シャーメゾンの管理室数は72万3,000室となり、入居率は98.2%と高水準を維持しています。 10ページ、開発型ビジネスです。開発型ビジネス全体では、売上高が283億円減の1,196億円、営業利益は101億円減の136 億円。 仲介・不動産ですが、売上高は127億円増の798億円、売上総利益率は1.2ポイント低下の18.5%。営業利益は14億円増の72 億円となりました。2割近い成長が継続しています。住宅用地を中心とした販売用不動産の売却が順調でした。2月の組織 再編で仲介・不動産専業の会社として、積水ハウス不動産を1社に統合してブランド強化に取り組んでいます。仕入れ強 化により、セグメント全体で土地在庫も前期末より206億円ほど積み増しています。 次に、マンションです。売上高は44億円減の203億円、営業利益は2億円減の26億円、営業利益率は1.3ポイント改善の 13.2%です。昨年は物件引渡しが多く、その反動により減収減益となっていますが、計画に沿った引渡しを進めており、 営業利益率は上昇しています。今期引渡し物件の契約は既に9割を超えており、販売は引き続き好調です。完成在庫は前 期末比52戸減の29戸となっています。 都市再開発です。売上高は366億円減の194億円、営業利益は112億円減の37億円です。この第1四半期は2物件の売却をし ましたが、前年はW大阪の持分売却や、プライムメゾン7物件の売却を行いました。その反動により減収減益となりました が、期初計画に沿った進捗です。当社が保有するプライムメゾンについては入居率が堅調に推移しているとともに、将来 のパイプライン拡充に向けた用地の仕入れも進めています。 また3月の説明会でコメントした、持分法投資利益として計上される予定の物件売却については、物件の売買契約の締結 が完了し、第3四半期での利益貢献を予定しています。 11ページは飛ばしまして、12ページは国際ビジネスです。 売上高は1,397億円増の2,576億円、営業利益は58億円減の49億円、営業利益率は7.3ポイント低下の1.9%でした。昨年4月 のMDC社買収により売上は大きく伸ばしたものの、米国戸建住宅事業の利益減少により、増収減益です。受注は1,956億円 増の3,764億円となります。 国別詳細をビジネスモデル別に説明いたします。13ページをご覧ください。 アメリカは、売上高は1,410億円増の2,562億円、営業利益は55億円減の62億円、戸建住宅事業は売上高は1,418億円増の 2,382億円、営業利益は57億円減の3億円。この数字にはビルダーの買収に関する棚卸資産の原価計上や、のれん・商標権 の償却費用が含まれており、これらのれん償却費用等の影響を除いた営業利益は115億円となっています。 戸建住宅事業については、14ページをご覧ください。 今回、アメリカの戸建住宅事業の営業利益、営業利益率が売上高に対して伸びていない要因については、のれん償却費等 の影響ももちろんありますが、MDC社の販売状況が大きく影響していると考えています。 MDC社ののれん償却等の影響を除いた営業利益は、昨年の実績と比べますと約6割減となっていまして、要因としては大き く二つ挙げられます。 一つ目は、引渡し戸数の減少です。MDC社は昨年の2,395戸から1,785戸へと、610戸、25.5%減少しました。MDC社の引渡し 戸数が減少した要因としては、昨年12月に引渡しを前倒ししたことや、春商戦に向けて受注をコントロールしたことで、 期初の受注残、バックログが減少していたことにあります。その分、第1四半期に契約して第1四半期中に引き渡すものを 増やす予定でしたが、金利も含めた足元の市況から、想定どおりには販売、引渡しが伸びなかったということです。 加えて2点目ですが、利益率の低下です。これは当社グループ以外のほかのビルダーも同様ではありますが、バイダウン を中心としたインセンティブを活用した結果、MDC社の営業利益率は前年同期比で4.1ポイント低下しました。エントリー バイヤーの割合が7割を占めるMDC社は、特に影響を受けた格好となりました。 今期の引渡しについてですが、計画の1万5,000戸に向けて、実績で2,769戸を引き渡しており、3月末時点の受注残と着工 済み戸数を合わせると、およそ1万1,000戸です。計画どおりに着工が進めば、1万5,000戸に向けて引渡し可能な在庫数は 確保できる見込みです。 また受注に関しても、今期1万5,000戸を見込んでいます。新築住宅への潜在需要は引き続き強いと考えていますが、今後 の経済情勢や市場動向を見きわめながら、販売戦略を実行していきたいと考えています。 13ページにお戻りください。アメリカのうちコミュニティ開発事業は、売上高は19億円減の125億円、営業利益は4億円減 の39億円。コミュニティ開発事業は、引合いは引き続き堅調に推移しており、商業用ロットの引渡しも寄与し、順調な進 捗です。 賃貸住宅開発は、売上高は14億円増の55億円、営業利益は6億円増の19億円。当期は物件売却がありませんでしたので、 賃料収入のみの収益となっています。稼働物件のリーシング状況は順調です。なお、物件売却の進捗としては、積水ハウ ス・リートにワシントンのCity Ridgeの住居棟の残りの2棟について、売買契約を3月に締結し、第2四半期での収益貢献 を予定しています。 受注は2,082億円増の3,756億円ですが、うち戸建は1,666億円増の3,037億円です。受注残高は、前期末比1,193億円増の 3,372億円、うち戸建住宅が2,187億円、コミュニティ開発が738億円、賃貸住宅開発事業が447億円。賃貸住宅開発には、 第2四半期に引き渡す予定のCity Ridgeが含まれています。投資残高は、前期末比239億円減の2兆990億円です。 オーストラリアは、売上高は12億円減の13億円、営業利益は5億円減のマイナス9億円。今期引渡し予定のマンションの契 約は順調です。前期にストライキの影響で引渡し延期になったものも含めて、第2四半期以降での収益貢献となる予定で す。受注は125億円減の8億円、投資残高は前期末比2億円減の2,816億円です。 シンガポールは、持分法適用となります。分譲マンションの販売利益の取込みがあり、8億円の持分法投資利益の計上が ありました。投資残高は749億円です。 以上で、2025年度第1四半期の決算説明を終わらせていただきます。 ありがとうございました。
Operator: 藤田さん、ありがとうございました。それでは、これよりご質問をお受けいたします。時間の都合上、ご質問はお一人様 2問までとさせていただきます。 それでは野村證券、福島様。ご質問をお願いいたします。
Daisuke Fukushima: 野村證券、福島です。2点お願いしたいと思います。 一つ目、アメリカの戸建住宅事業のところです。のれんに関してと、レートバイダウンに関してお話しいただければと思 います。 のれんは前期の決算、25年1月期の決算を見ますと、2クォーター、3クォーター、4クォーターとそれぞれ45億円ぐらいの のれんだったんですけれども、この第1クォーター、90億円超と結構大きなのれんになっていまして。これは在庫とかが そこに入っているということだと思いますけれども。今期通期ののれんの絶対額のご計画って、この時点でどうなってい ますか。これがのれんに関して。 二つ目、MDC社もMDC社以外の会社も、レートバイダウンの影響で利益率低下というお話をいただいたんですけれども、 レートバイダウン、どんなレベルで今やっているものなんだということと。今後その見通しをどう考えていらっしゃるの か、いただければと思います。これが大きな一つ目になります。 二つ目はオーストラリア、受注残が1,200億円弱、1,196億円ということで開示をいただいていますけれども、これは2 クォーター以降に売上計上されるということでしたが、2、3、4、どういうバランスで今見ていらっしゃるのかを教えて いただければと思います。 以上、2点になります。
Toru Fujita: ありがとうございます。1点目、2点目ともに、まず私からお答えさせていただいて、その後、石井から適宜補足説明をさ せていただきたいと思います。 1点目ですけれども、のれんともう一つ、棚卸資産の原価の払出があると思います。それで、のれんと商標権の償却につ いては10年の定期償却ですので、45億円とおっしゃった数字は、のれんと商標権の定期償却の分の四半期分であります。 したがって、そこはもちろん為替レートにもよるのですけれども、大体年間で170億～180億円が毎年出るということでご ざいます。 それから棚卸資産の払出については、第1四半期で同じように46億円ぐらい計上されてございます。昨年が約250億円弱計 上済みということで、全体でこれも為替レートの換算次第ですけれども、MDC社買収に係る投資差額のうち棚卸資産に配 分された額は、総額で大体500億円ぐらいあったということで、半分ぐらいが既に昨年出されているということでありま す。 今年度については明確に計画を立てるのが難しいところではありますけれども、大体150億～160億円を計画としては見込 んでいると考えております。 それから2点目のレートバイダウンについては、詳細はお答えするのは差し控えさせていただきたいんですけれども、MDC 社について言いますと大体、今取り組んでいるものの7割については、バイダウンを付与しています。 それとMDC社の粗利率低下を見ていただきますと、大体MDC社で3%弱、粗利率が低下していますので、これはバイダウンの 影響が出てきているということです。 オーストラリアについては第2四半期以降で、期ずれになった分も含めて計上していくということです。これについて は、石井から補足説明をさせていただきますので、よろしくお願いいたします。
Toru Ishii: 石井から補足させていただきます。一つ目のバイダウンにつきまして、ちょっと補足させていただきます。 アメリカの戸建の需要は堅調です。ただ経済の先行き不透明感で、様子見されていらっしゃる方の受注を促進するため に、バイダウンを使っているということでございますが、エリアによってもまちまちでございますし、戸数重視というよ りは今後は利益率を上げて、収益の効率化を目指していくと考えております。 二つ目のオーストラリアの受注残の取込みの時期ですけれども、基本、2クォーターから取り込んでいきまして、2クォー ター、3クォーターがメインで取り込んでいく計画になっております。 以上です。
Daisuke Fukushima: 今期1,200億円弱のオーストラリア受注残、2クォーター、3クォーター中心ということですけれども、この1,200億円のう ちどれくらい、今期に売上計上するご計画でしょうか。
Toru Ishii: 今期引渡しすべき、マンションが主ですけれども、契約は既に9割以上確保しておりますので、順次、既に引渡しを開始 しておりますので、計画どおり順調に進んでいるとご理解ください。
Daisuke Fukushima: この1,200億円はほぼ全部、今期ということでいいんですか。
Toru Ishii: 全部というか、今期引渡しの予定分については計画どおり、進んでいるということでございます。
Daisuke Fukushima: 分かりました、ありがとうございます。
Operator: 福島様、ありがとうございました。続きまして、大和証券の増宮様、ご質問をお願いいたします。
Mamoru Masumiya: 大和証券の増宮です。よろしくお願いいたします。アメリカの戸建について確認、一つ目させていただきたいのです。 実際これは3月、4月とかなり良くはなってきているでしょうか。月ごとの受注の数字をいただけますでしょうか。またイ ンセンティブを強くというお話でしたけれども、今のお話だとこの5月6月以降は受注の戸数は追わずに、1万5,000戸につ いては計画、なかなか難しいという見方になっているでしょうか。それが一つ目になります。 二つ目、米国の賃貸住宅のところです。先ほどいただきましたように、2Qに国内のリート向けに売却がもう決まっている のを計上するということですが、前回のお話では200億円の計画のうち、大体6割ぐらいでめどがついているかなというお 話でしたが、現時点ではそのめどのついているところ、さらに増えてはいるのでしょうか。 残りはどうでしょうか。4Q計上がほとんどなのでしょうか。その辺りも含めて現状、進んだところがあれば教えていただ ければと思います。よろしくお願いします。
Toru Fujita: ありがとうございます。1問目、2問目とも、まず私からご回答させていただいて、石井から適宜補足させていただきま す。 3月、4月の受注の状況、これはMDC社ということでよろしかったでしょうか。
Mamoru Masumiya: できれば両方、既存3社も含めていただければと思います。また直近の5月の数字もある程度分かるところがあれば、いた だければ助かります。
Toru Fujita: 分かりました。3月はMDC社が相当契約数を増やしまして、1,000戸ぐらい契約をしました。それもありまして、全体で 1,500戸ぐらい契約しております。それで1万5,000戸が目標ですので、これを単純に月で割ると1,250戸になるので、われ われとしては1,200が一つの目安としているということであります。 3月は1,500戸近く受注をしましたということですが、4月に入ってMDC社も少しペースダウンしたこともあり、4月は4社合 計で1,200戸強ということで、ほぼ1万5,000戸ペースになりまして。 5月に入ってまだ速報値で、われわれもまだ十分、分析できていないんですけれども、約1,000戸となっております。これ は主にまだ受注の戸数しか聞いていないんですけれども、MDC社で利益率とのバランスを測らなければいけないというこ とで、一部バイダウン等のインセンティブの見直しをしました。 もしかしたらそれが作用して、少し受注戸数としては5月、減少したのかもしれないということ。あるいは春商戦がもう 終わって、3月、4月に比べると5月は落ちていることも考えられると思います。 それで1万5,000戸達成についてどうかといいますと、先ほどスライドの14ページでもご説明したとおり、これは引渡しの 1万5,000戸ということですか。契約の1万5,000戸ということですか。
Mamoru Masumiya: 受注のほうも1万5,000戸だと思いますが。
Toru Fujita: 失礼いたしました。先ほど引渡しについてご説明しましたけれども、受注についても1万5,000戸の目標は掲げております けれども、最終的には市況、先ほども申し上げましたけれども、市場の環境とかも見ながら、どれくらいインセンティブ を付けるかを見ながら、最後販売をしていくということでございますので。 1万5,000戸を受注することは可能ではあるけれども、最終的にどうするかは販売戦略も併せて、今後、考えていきたいと 思っている次第でございます。以上1問目、お答え申し上げました。 2問目については、残りのマルチファミリーについては第4クォーターに今のところ、売却の計画を予定しているというこ とでございます。これについては石井から、補足説明をさせていただきます。よろしくお願いします。
Toru Ishii: まず一つ目ですけれども、戸数はある程度重要ですけれども、利益率を上げていくことも重要だと考えております。冒頭 に藤田からも説明があったと思うんですけれども、十分な在庫はたまってきておりますので、戸数はある程度さばける自 信は持っております。 サイクルタイムが短くなってきているので、今期、後半のほうが景気は良くなるのではないかと予想しておりまして、そ こに合わせてたくさん弾を出していきたいと考えております。 受注のほうは3月以降、ちょっと軟調になっていることもありますので、それほどバイダウンを多用して戸数を売りさば くのではなくて、少しためながら、後半に勝負と考えております。 二つ目のマルチファミリーにつきましては、第4クォーターに大きなものを考えているんですけれども、一つ大きなもの は6月に終わりますので、もう一つ目につきましては具体的な協議が、今のところ順調に進んでいる状況でございます。
Mamoru Masumiya: ありがとうございます。その意味では期初の6割というめどから、さらにもう一段進んでいるという見方になりますか。
Toru Ishii: そうですね。一つは6月に終わりますので、もう一つ目が今、順調に協議が進んでいると。大型の物件ですので、一つ終 わるとかなり営業利益額では影響力が大きいので、順調に進んでいると考えています。
Mamoru Masumiya: 分かりました。そうしますと、戸建と比べるとこちらのほうはかなり、賃貸住宅のほうは順調かなという手ごたえでしょ うか。
Toru Ishii: そうですね。われわれ昨年、リートに物件を売却しておりますけれども、出口の機能としてリートができたことが非常に 大きな戦力になっておりまして。ここを基軸にしたファンドを組成するとかいうことも十分、このスキームの中に取り込 めますので、そういう意味合いでは出口の確からしさがかなり高まったとお考えください。
Mamoru Masumiya: どうもありがとうございます。
Operator: 増宮様、ありがとうございました。次にモルガン・スタンレーMUFG証券の姉川様、ご質問をお願いいたします。
姉川 俊幸: どうもお世話になります。では2問、簡単に。 のれんのところの確認なのですが、アメリカですけれども、総額115億円で、のれんとか商標権だけだと、先ほども出て いましたが44億～45億円だと思うのですが、そうするとその残りが棚卸資産の原価計上という理解でよろしいですか。そ れ以外にも何か費用的なものとか、PMIなんかもかなりお金をかけていますので、そういう費用なんかもここに含めてご 説明されたのか。その辺りを教えていただけませんでしょうか。というのが1問目です。 それと2問目が都市再開発のところのキャピタルゲイン、あるいは都市再開発だけというよりは国内の1Qのキャピタルゲ インって、どこかに書いてあれば教えていただければ、私が見落としているだけかもしれないんですけれども、それを教 えていただきたいのと。 やはりこれだけアメリカの進捗が遅いと、期初の説明会でもありましたけれども、都市再開発の物件売却とか、あるいは 政策保有株の売却ぐらいが急にできることなので、その辺で手当てする方向なのかなと思うんですけれども、その辺りの 検討状況は今、どんな感じでしょうか。いや、まだまだ2Qとか様子を見てからということなのか、その辺りのコメントを いただければと思います。 以上、2点です。
Toru Fujita: ありがとうございます。1点目については私から、2点目も私から説明した後、適宜、石井から補足いたします。 1点目ですけれども13ページをご覧いただいて、115億円、のれん償却等の影響を除くというのがありまして、その上 に3億円というのがあります。この差額がのれんの償却と、それから棚卸資産の原価の払出で、MDC社、それからその他 Chesmer等を含めて、その差額が112億円となっているということでございます。 2点目については、第1クォーターの物件売却ですけれども、11ページの右下のところに、都市開発系物件売却があって、 ここに売上、利益が計上されています。ただしこれはセグメントでいうと、アスタリスクにありますけれども、都市再開 発事業のほかの開発型ビジネスのセグメントに属するものも一部、含まれていることをご留意いただければと思います。 それでは2点目について、石井さんから補足があれば、お願いします。
Toru Ishii: 国内の都市開発物件の売却の件ですけれども、おっしゃるとおり、第1クォーターの米国戸建の結果を見れば、先行き不 透明感が増している影響を受けたと。ただ後半は回復してくるとは考えているんですけれども、その他マルチファミリー の売却につきましてもめどがつけば、都市開発物件をさらに売却していくことは必要ないかもしれませんが。 期初にもくろんでいた物件売却よりも追加で今、数物件売却の活動をしておりまして、そちらの折衝も本格化しておりま す。
姉川 俊幸: よく分かりました。どうもありがとうございます。一つだけフォローアップの質問ですけれども、この資料を見ますと、 そうするとPMIの関係の費用は、あまりこの1Qは出なかったという理解でいいんですか。
Toru Fujita: そんなに巨額で何か出ているわけではないです。もちろんコンサル等も採用していますので、一定の経費はかかっていま すけれども、何か例えば組織を変更するとかいうことで、ワンタイムのコストが、会計上のマイナスとして出るとか、そ ういうことは特に1Qでは発生していないということであります。
姉川 俊幸: 通期だと、結構な金額を見込まれていたような記憶があるんですけれども。
川畑 弘幸: PMI費用として経営計画説明会の際にご説明していたものがあるんですけれども、これは交通費も含めたPMI費用と、あと ホールディングスの経費とか、そういったものも含めたかたちで表現させていただいていますので。 いわゆる買収一時費用みたいなものは、前期でだいぶ消化されていますけれども、今期は、先ほど藤田が申し上げたコン サルとか、グループビルダー4社をワンカンパニーとして、いろんなオペレーションを統合していく中でかかっていく費 用なども見込んではいますが、昨年ほど大きなものは予定していないということです。
姉川 俊幸: 分かりました。どうもご丁寧にありがとうございます。
Operator: 姉川様、ありがとうございました。次にSMBC日興証券の田澤様、ご質問をお願いいたします。
Junichi Tazawa: お世話になります。SMBC日興証券の田澤です。 まず、既にたくさんお話は出ているんですけれども、ちょっとくどいようなのですが、14ページでアメリカの戸建なので すが。他社さん、日系企業でアメリカにオペレーションしている会社もあれば、アメリカでそのまま現地の上場企業とか のお話もよく聞かせていただくんですけれども。受注の戸数は減ったけれども、その分マージンはそんなに減らなかった と。一方で逆にマージンはレートバイダウンで減ったけれども、受注はおおむね計画どおりに、それなりにいけているよ と。どっちかのパターンが多かったような印象ではあるんですけれども。 御社のファーストクォーターのこのデータを見ると、レートバイダウンをして、結構マージンも下げながら戸数も結構 減っていると、両方ネガティブなふうに見えたので、ぱっと見たときに結構ネガティブに見えてしまったんですけれど も、他社に比べて悪く見える要因みたいなところ、何かあれば教えていただいた上で。 やはり今後はレートバイダウンをそんなに減らさないでいくということになると、この受注戸数がもうちょっと、弱く なっちゃったりしないのかなというところはあるんですけれども、その辺は心配しなくていいのか。 したがって、後半勝負ということで後半に期待しつつも、確か3カ月前もそんなようなことはおっしゃっていたので、シ ナリオどおりなのかもしれないですが、繰り返しになりますが改めて、そこら辺の勝算というか、教えていただければ。 他社より悪く見える理由と、改めて勝算を教えていただければと思います。 そして、二つ目が13ページのアメリカ事業、戸建以外のところについてのご説明もあったのですが、計画比でどうなのか と。コミュニティ、賃貸住宅のマルチファミリーのところなんですけれども、賃貸住宅は1物件6月、そしてもう一つが4Q ということだったのですが、確か今期の計画では4～5物件売却計画ということなので、そこは計画どおりいくのか。 とはいえ、やはりこちらも2件は見えているけれども、4～5物件はちょっと届かなさそうなのかとか、あるいは上積みも 可能な状況なのかというところ。 そしてコミュニティについても、これだけ戸建が厳しい状況であれば、やはりビルダーのコミュニティの需要もそんなに ないとすれば、今期通期では増益計画ですが、1Qは減益になったわけですけれども、コミュニティもキャッチアップでき るのか。そこはさすがに厳しいのか。併せて進捗ということで教えていただければと思います。よろしくお願いします。
Toru Fujita: ありがとうございます。1点目、2点目ともまず私からご説明して、石井から適宜補足させていただきます。 1点目、おっしゃるように契約戸数の減少の抑制と、バイダウン等のインセンティブを使うことは、トレードオフの関係 にあるということだと思うんですけれども、当社の場合は先ほどご説明したように、引渡し戸数の減少は少し別の要因、 当社特有の要因があったと考えています。 すなわち、2024年12月末のバックログが極端に少なかった。引渡しを前倒ししたとか、春商戦に向けて少し受注をコント ロールしたことで、バックログが非常に少なくスタートしたということですので、先ほど申し上げたように1、2月がすご くスロースタートになって、3月に挽回しようとしたけれども、それが埋め切れなかったという固有の要因があるという ことであります。 受注戸数で見ると、MDC社は前年比で見ると約8%減になっております。いろんな統計、データがあるんですけれども、大 手のほかの上場ビルダーと比較し、われわれの中で分析したところ、受注戸数についていうと大手ビルダー、上場ビル ダーの平均が9%強ですので、そんなにわが社だけが悪いわけではないのかなと思っているところではあります。 ただ利益の減益の幅については、引渡し戸数のボリュームの面に加えて、エントリーレベルが多いこともあるので、他社 に比べると、その分インセンティブをより多く使わなければいけないのではと、平均してみるとそういう面もあるのかな と考えております。 それから、アメリカの戸建事業以外のところですけれども、マルチファミリー、それからMPCともに計画どおりに進捗を していると、われわれとしては見ているということです。 マルチファミリーについては、先ほど石井から申し上げましたけれども、物件の売却が第4クォーターに固まっていると いうことでございますので、そこはまだ、もちろん予断を許さないところではあるんですけれども、今のところは順調に 進捗していると考えております。
Toru Ishii: 一つ目につきまして、MDC社はスペック戦略に切り替えているんです。エントリーバイヤー向けですけれども、建売をつ くってオプションを売るのではなくて、建売ができた段階で売る計画で、昨年の第1クォーターはそれが功を奏して、か なり販売がうまくいったということなのですが。 今年は先ほど藤田が申し上げましたとおり、春商戦に向けて弾をためていたんですけれども、そこが思ったように消費者 のアペタイトが強くなくて、バイダウンをせざるを得なくて利益率が下がったことが、利益が減った原因でございます。 先ほど申し上げたとおり、サイクルタイムをかなり短縮してきておりますので、原価の圧縮であったり、アフォーダブル の土地については一部売却をしていくとか、そういったことを重ねながら利益の確保に努めたいと思っております。 マルチファミリーにつきましては大型の2物件が利益の大半を占めているので、ここで骨格をつくるということで、一つ が終わった部分です。残りの数物件につきましては二つ方法がありまして、それをまとめて買いたいという購入者の希望 の方もいらっしゃれば、別々に小さいやつを買いたい方もいらっしゃいまして。今のところオンラインと考えています。 MPCにつきましても商業用ロットの売却効果もあり第1クォーターは堅調に進んだんですけれども、今の計画どおりで、こ れもオンラインで推移しているとお考えください。
Junichi Tazawa: ありがとうございました。最後にお願いですけれども、今回14ページで結構資料もデータも拡充されたので、粗利率 も、MDC社は過去のがあるので、多分、今後も出していけるんだと思うんですけれども。少なくともMDC社は継続的に出し ていただいて、可能であれば全体みたいなところも出していただけると、とても嬉しいなというか、ほかといろいろ比べ たり。 まだ日系の住林さんとかも出していないので、そちらにもお願いはしていこうとは思うんですけれども、米国の会社とか とも比べたりするのに非常に参考になるので、可能な範囲でお願いできればと思います。
Toru Fujita: 承知いたしました。検討させていただきます。
Junichi Tazawa: ありがとうございます。
Operator: 田澤様、ありがとうございました。次に、みずほ証券の橋本様、ご質問をお願いいたします。
Yasuhisa Hashimoto: みずほ証券、橋本です。よろしくお願いします。簡単に二つ。 今、田澤さんからもありましたが、他社との違いというか、パブリック商法なので戸数とかの違いもありましたが、第1 四半期だけ見た場合の利益率の低下の違い。例えば住友林業さんは経常利益率を出していないのでなんとも分からないん ですけれども。1Qだけ見ると2.5％の落ちになっていますというところと、あと上場した大きなところではDRホートンと かレナーも、ちょっと見ると落ち方としては大きいように見えていまして。 レナーさんは3%落ちているんですけれども、DRホートンは1.4％しか落ちていないんですが、この差が、それらを意識し ていないから分からないという話かもしれませんが、どういうところにあるのか。 地域かスペックのせいなのか、古い土地在庫を持っていて、それでそういうのがうまく売れている会社とそうじゃないと か、いろいろあると思うのですが、どのように見ていらっしゃるのかを、いえる範囲で教えていただけたらというのが、 一つ目で。 バイダウンだけではMDC社とかの落ち方、4%、営業利益率で出していただいているんですけれども、Woodsideとかは2% で、落ち方としては他社並みかもしれませんが、ほかの原因がないかなとか、春先も止まっていたとか以外、何かないの かなと思って聞いていたのですが、それを教えてください。それが一つ。 全体的に前堀内副会長さんの時代、2Qに見直しますよというのが1Q出たとき、よくコロナ中は、今度は保守的な予想が 上振れるときのお話としては出てきましたが、業績全体、今回変更はないと言いながら、アメリカの出足はちょっと厳し かったんですけれども。さっき一部質問出ていましたが、アメリカ厳しいとしても、ちょっとオーストラリアは余力があ るとか、都市再開発のところでちょっとプラスがあるとか、いろいろあると思うんです。 業績全体のところです。どこかでレビューしなきゃいけないとか、全体としては宅地も大丈夫、マルチファミリーも売れ ていっているということですけれども、全体としてどう見ておけばいいのかを、改めて教えていただけたらというのが2 点目です。よろしくお願いします。
Toru Fujita: ありがとうございます。1点目、2点目とも私からご説明をさせていただいて、1点目は石井から適宜、補足させていただ きます。 今、橋本さんのおっしゃった、こちらから質問して恐縮ですけれども、他社で1%減とおっしゃっているのは売上のこと。
Yasuhisa Hashimoto: 利益率はDRホートンが21.8％で、去年の2Qのときの23.2％、だから1.4％の低下で、だから営業利益とちょっと違いま すけれども、DRホートンはそんなぐらいで、けれどもあえていえば営業利益率ですけれども、Woodsideとかの落ち方が ちょっと近いかなというところがあるんですけれども、なんでこんなに4%も落ちたんでしたかというところ。 ほかに原因が売るタイミングとかを考えていて、1-3を抑えたとかいろいろあったのかとも思いましたけれども、ほかに ありますか。
Toru Fujita: そういう意味では多分、水準からして粗利率のところだと思いますので、申し上げましたMDC社については前年同期比で 見ると粗利率は、先ほど申し上げたように、3%ぐらい落ちているということでございます。 それで営業利益で比較すると、やはりMDC社の営業利益率の落ち幅、他社と比べても大きいのは事実でございます。先ほ どの繰り返しになりますけれども、ボリュームが前年よりも減ったのが、要因ではないかと。 これはなんで減ったかというと、繰り返しになりますけれどもバックログの不足による、1月、2月の特にスロースター ト、3月に挽回し切れずということです。 期中で契約、期中引渡しを図ったんだけれども、市場環境がさほど良くない中、それがなかなかうまくいかなかったとこ ろが、大きく左右しているのではないかと思います。それが利益率の低下です。 粗利率で比較すると、他社さんとそんなに大きく下がっているということではないのかなと思っているところではありま す。
Yasuhisa Hashimoto: 宅地の差とかは、関係ないですか。みんな一緒にある程度、古い土地を持っていると1区画300万ぐらいで持っていて、 マーケットから買うと1,000万ぐらいかかってきて、日本円にすると。それをみんな全部ずっと持っているとバランス シートで重たいので、交換したりしてやっているのがアメリカのビルダーの動きかなと思うんですけれども、そこの多寡 は特に関係ないですか。
Toru Ishii: 補足させていただきます。弊社の独自の調べですけれども、大手9社、米国ビルダーの平均で、第1クォーターの比較でい きますと大体3%、営業利益率は落ちているんです。当社のMDC社の落ち方はもう少し落ちているんですけれども、そこは 4%ぐらいですので、そんなに差がないんですね。 地域性がやっぱりありまして、アリゾナ、コロラド、フロリダの粗利が低くて、ここはエントリーバイヤーを中心にやっ ている部分ですけれども、ここの収益の減が主に響いているということです。
Yasuhisa Hashimoto: 分かりました、ありがとうございます。
Toru Fujita: 2点目についてですけれども、第1クォーターを見ると前年同期比では減益になっているんですが、計画比で下振れている のは米国戸建事業となります。そういう意味では、それ以外はほぼほぼ計画どおり、あるいは計画を上回っているところ もあるということでございます。 例年9月に計画の見直しを行わせていただいているんですけれども、今後の米国戸建事業がどういうふうに展開していく かということ、今1クォーターは若干厳しい状況にありましたけれども、先ほど石井から申し上げたようにサイクルタイ ムの見直しだとか、インセンティブの一部見直しだとか、そういったアクションはとっていますので、どこまで挽回して いけるかということと、それからほかの部門の上振れや、開発物件の一部計画に織り込んでいないものの売却をするかど うかも検討して、9月の経営計画説明会で、改めて説明させていただくことになるかと思っております。以上です。
Yasuhisa Hashimoto: ありがとうございました。
Operator: 橋本様、ありがとうございました。次に、CLSA証券の望月様、ご質問をお願いいたします。
望月 政広: CLSA、望月です。よろしくお願いします。2点あります。 まず1点目です。アメリカの戸建住宅、かなり詳細にご説明いただきましたが、今から振り返ったときに、積水ハウスの ガイダンスが3月に発表されているわけですけれども、現地のビルダーのコミュニケーションの仕方で、もう少しここの ところをやっておけばよかったというのはありますでしょうか。 受注なり売上は把握されていたと思うんですけれども、利益率がやっぱり通期計画に対して下振れ気味かなという印象を 持っておりまして。何かコミュニケーション、現地ビルダーのところで改善が今後必要なところがありましたら、教えて ください。 2点目、今後は利益率を重視した販売活動をしますよということですが、どのくらいのマージンを目指していくのでしょ うか。セカンドクォーター、もしくは下期、もともと通期計画で見ていたぐらいの利益率、OPマージンを見るのか。今後 の利益率の目安について教えてください。よろしくお願いします。
Toru Fujita: 1点目、2点目とも、まず私からご説明させていただいて、石井から適宜補足説明をいたします。 MDC社、昨年買収して、今回初めて年度の通期計画を立てたわけですけれども、石井も私もボードメンバーに入っており ますし、何かコミュニケーションにギャップがあったとかとは思っていません。 1-3月の市況があまり回復しなかったところを、もしかしたら読み切れていなくて、それが計画に十分反映されていな かったのかもしれないと、これは個人的な感想ではありますけれども、思っているところではあります。 今後は当然PMIも進んでいますし、ワンカンパニー化もしていきますし、そういう意味ではこなれてはいきますので、そ ういった少なくともコミュニケーションギャップとか、何か計画の見通しを誤るとかいうことがないようには、当然、今 もないとは思っていますけれども、そうしていくつもりであります。 2点目の営業利益については、現時点では目標は、どこまで回復させていくかはなかなか立てるのは難しいと思っていま すので、もとの計画を達成するためには大幅に引渡し戸数を増やすか、それとも営業利益率を増やしていくかですけれど も、これは市況の回復等も見ながら、バランスをとってやっていくということですので。 何パーセントと目標を立てるのが、なかなか難しい状況ではあるということですので、市況の状況を見ながら、回復の状 況を見ながら販売戦略を立案して、実行していきたいと考えております。
Toru Ishii: 一つ目、繰り返しになりますが、MDC社はスペック戦略に切り替えているんです。これは期中契約、期中引渡しに頼ると ころが多いので、そういう意味合いではかなり不確実性の高い戦略をいえると思うので、ここにつきましては少し、今後 は是正の余地があるかなとは理解しておりまして、現地とのその共有化はできております。 二つ目のどれくらいまで上げていくのかは、全然予測もつかないことではありますが、これも繰り返しになりますが、サ イクルタイム等が減少していって、経費の圧縮なんかも進んでおりますので、後半にスペック戦略の弾を売却して、利益 率を上げていくことを挑戦していきたいと。 ただ不確実性が高いので、その不確実性を埋めるために国内の都市開発事業の数物件を、具体的には折衝をもう開始して おりまして、計画を下回る可能性があれば、そちらの売却を加速させて、穴埋めしていくと考えております。
望月 政広: ありがとうございます。
Operator: 望月様、ありがとうございました。大変恐れ入りますが時間が押しております関係で、次のご質問者様を最後とさせてい ただきます。 SBI証券の小澤様、ご質問をお願いいたします。
Kouki Ozawa: SBI証券、小澤です。お時間押していますので、1問だけお願いします。 今、最後のほうでも出ました国内、都市開発のところの売却のところですけれども、これは何か具体的にどういうものが あるのかというところで、少しお話をいただければと思います。 先ほど姉川さんの質問とかで、物件売却がほかのセグメントで入っているようなものから出てきたケースなんかもあるの で、どうしても、今日の資料だと4ページ目のところの販売用不動産とかを見ると、都市再開発って11億円ぐらいしかな いので。 例えば、固定資産から振り替えてくるのか、それともここの4ページに入っている棚卸の別の例えば賃貸住宅のほうと か、マンションのほうから振り替わってくるのかとか、いろんなパターンがあるかと思うんです。いろんな選択肢がある と思うんですけれども、どういったものが対象になっていて、結構それが、確度が高いみたいなところを、補足いただけ ればと思います。 3カ月前のファクトブックにも、確かプライムメゾンの賃貸マンションが7物件竣工済み、6物件建築中とありましたの で、こういったものももちろん対象になるかと思いますが、よろしくお願いします。
Toru Fujita: これは、石井からお答えいたします。よろしくお願いします。
Toru Ishii: 既に具体的な折衝に入っておりますので、守秘義務もありますので、具体的な物件が大体どんなものかは、いえば想像が ついちゃいますので、ここでしゃべらせてもらうのは勘弁させてもらいたいのですけれども。 ご想像のとおり、マンションの事業でもかなり大型なマンションの土地を買っていたりしますので、非常に優良な土地で ございますので、そういうものをJVとしてシェアアウトしていくとかも考えておりますし。 すぐ現金化、流動化できる資産としましては潤沢にありますので、ざっと3,000億円弱ぐらいがありますから、その物件 を数物件見繕って、一番収益性の高い物件から売却活動を開始しているところでございます。
Kouki Ozawa: 分かりました。ありがとうございました。
Operator: 小澤様、ありがとうございました。 それでは時間となりましたので、質疑応答を終了いたします。 以上をもちまして、2025年度第1四半期決算説明会を終了いたします。本日はご参加いただき、誠にありがとうございま した。 ［了］